Operator: Good day, ladies and gentlemen, and welcome to the Southwest Gas Holdings 2018 Mid-Year Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will began at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference, Mr. Ken Kenny, Vice President of Finance and Treasury. Sir, you may begin.
Kenneth Kenny: Thank you, Norma. Welcome to Southwest Gas Holdings, Inc. 2018 mid-year conference call. As Norma stated, my name is Ken Kenny and I’m the Vice President of Finance and Treasurer. Our conference call is being broadcast live over the Internet. For those of you who would like to access the webcast, please visit our website at www.swgasholdings.com and click on the Conference Call link. We have slides on the Internet, which can be accessed to follow our presentation. Today, we have Mr. John Hester, Southwest President and Chief Executive Officer; Mr. Gregory J. Peterson, Senior Vice President and Chief Financial Officer; and Mr. Justin L. Brown, Senior Vice President, General Counsel, and other members of senior management to provide a brief overview of the company’s operations and earnings ended June 30, 2018 and an outlook for the remainder of 2018. Our general practice is not to provide earnings projections, therefore, no attempt will be made to project earnings for 2018. Rather, the company will address those factors that may impact this coming year’s earnings. Further, our lawyers have asked me to remind you that some of the information that will be discussed contains forward-looking statements. These statements are based on management’s assumptions, which may or may not come true and you should refer to the language in the press release Slide 3 of our presentation and also our SEC filings for a description of the factors that may cause actual results to differ from our forward-looking statements. All forward-looking statements are made as of today and we assume no obligation to update any such statement. With that said, I would like to turn the time over to John.
John Hester: Thanks, Ken. Turning to Slide 4 and our 2018 highlights. From a consolidated results perspective, we realized earnings of $4.29 per share for the 12 months ended June 30. In addition, earlier this year, our Board voted to increase our annual dividend to $2.08 per share. In the natural gas segment, we added 33,000 net new customers over the past year. We filed a Nevada general rate case requesting an adjustment to base rates of $32.5 million. We filed a gas infrastructure replacement application with an ultimate anticipated annual revenue requirement of $22 million, and we received a decision from the Public Utilities Commission of Nevada authorizing us to expand natural gas distribution service to Mesquite, Nevada. And finally, from a construction services perspective, we saw our quarterly revenues increased by almost $95 million, reached a settlement of $9 million for increased costs associated with a water pipe replacement project, generated annual net income of $45.2 million, our experiencing better than expected results with our New England Utility Constructors acquisition, and continued to be very enthusiastic about the year-end prospects for the construction business. Moving to Slide 5. We have an outline for the content for today’s call. Greg Peterson will review our consolidated results for the past year, including details for both the utility and construction services segments. Justin Brown will provide a recap of our varied regulatory pursuits, and I will close with an overview of customer growth and regional economic conditions, our planned capital expenditures and our expectations for the rest of this year. With that, I will turn the call over to Greg.
Gregory Peterson: Thank you, John, and welcome to all of you who are joining us on today’s call. Let’s start with a look at total company operating results on Slide 6. For the second quarter of 2018, consolidated net income was $21.6 million, or $0.44 per share, an increase of $3.7 million, or $0.06 per share compared to the second quarter of 2017. For the 12 months ended June 20, 2018, net income was $207 million, or $4.29 per share, a significant increase from net income of $155 million, or $3.26 per share recorded in the prior year 12-month period. The current period includes a one-time tax reform benefit of $20 million, or about $0.41 per share recorded in December 2017. Let’s move to Slide 7 and look at each segment’s impact to the consolidated change in quarterly results. Quarterly earnings for the natural gas operations declined $6.9 million, while construction services results were up $10.5 million between quarters. I’ll provide some details surrounding the changes in each segment in the following slides. Slide 8 depicts the change in earnings between 12-month periods. Contribution from natural gas operations increased $37.4 million, while the contribution for construction services increased $15.7 million. Next we’ll take a deeper dive into each segment, starting with the quarterly comparison of natural gas operations on Slide 9. This waterfall chart depicts the components of the $6.9 million decrease in gas segment income between the second quarters of 2018 and 2017. Operating margin growth of $1.5 million included $2 million from 32,000 net new customers added during the past 12 months, a 1.6% growth rate, and 500,000 in attrition rate relief in California. A reduction in surcharge recoveries primarily related to conservation and energy efficiency programs in Nevada muted the overall margin increase. The $7.6 million increase in operations and maintenance, or O&M expense, includes approximately $2 million of higher pension and employee medical costs. O&M expenses were also impacted by incremental integrity management and damage prevention program costs, including a $700,000 increase in line locating or call before you dig cost as commercial and residential construction activities have ramped up throughout our service territories. We continue to expect that O&M costs for full-year 2018 will be about 2% to 3% higher than 2017, plus the impacts of an $8 million increase in pension and costs. Despite a $448 million, or a 7% increase in average gas plant and service, depreciation and general taxes only increased $1.6 million, or 2.6% primarily due to the reduction in surcharge amortization. The $3 million increase in interest expense reflects higher outstanding debt balances, including $300 million of senior notes issued in March 20, 2018 to facilitate Southwest’s ongoing capital expenditure program. The favorable $3.2 million reduction in income taxes was due to a decrease in pre-tax income and lower rates under the Tax Cuts and Jobs Act. Turning to Slide 10, this reflects the components of the $37.4 million increase between 12-month periods for natural gas operations. The $6.6 million net improvement in operating margin reflects a combined $15 million of rate relief in Arizona and California, and $10 million from continuing customer growth, partially offset by a $6 million reduction in miscellaneous revenues and $12.5 million reserve associated with tax reform. Despite a $24 million increase in pre-tax income, income taxes declined $13.1 million due to tax reform, including $8 million recognized in December 2017 upon the enactment of the Tax Cuts and Jobs Act. The $26.9 million reduction and depreciation in property taxes reflects lower depreciation rates associated with the Arizona rate case settlement in 201, partially offset by depreciation associated with a $391 million, or 6% increase in average gas plant and service. The $6.5 million increase in interest expense is primarily due to higher outstanding debt balances between periods. We’ll now review Centuri second quarter results starting with Slide 11, which reflects the net income increase of $10.5 million, compared to the second quarter of 2017. Revenues for the second quarter of 2018 increased nearly $95 million compared to the prior year quarter, primarily due to additional pipe replacement work performed for existing customers. The increase also includes $34 million in revenue from operations of New England Utility Constructors, or Neuco, which we acquired in November 2017, as well as a $9 million negotiated settlement of the 2017 contract dispute. Construction expenses increased approximately $81 million between quarters, primarily due to costs associated directly with the additional pipe replacement work performed, including $30 million from the Neuco operations. Incremental costs were also incurred to provide support for the overall growth in operations. The $1.8 million increase in depreciation and amortization was due to incremental amortization associated with the Neuco acquisition and depreciation on additional equipment purchases, partially offset by an extension of estimated useful life of certain equipment. Interest expense, which is included in the other caption on the slide increased $1.7 million due to higher outstanding debt, including amounts used to finance the Neuco acquisition. Despite a $10 million increase in pre-tax income, income tax was relatively flat between quarters due to the benefits of lower tax rates associated with tax reform. Slide 12 shows the components of the $15.6 million increase in construction services net income between 12-month period. Construction revenues increased $276 million due primarily to additional pipe replacement work with existing customers across the U.S. and Canada. Neuco operations have provided $65 million of revenue since we acquired it in November 2017. Construction expenses were $266 million higher than the prior year period, including $57 million associated with Neuco operations. Depreciation and amortization increased $3.2 million due to amortization of intangible assets associated with the Neuco acquisition, and depreciation on incremental equipment purchases to support growing operations, partially offset by a $5.9 million reduction in depreciation associated with extensions of estimated useful life of certain depreciable equipment. Other includes a $4.7 million increase in interest expense due to higher debt outstanding, including amounts associated with the Neuco acquisition November 2017. Finally, income taxes reflect a one-time $12 million benefit associated with tax reform that was recognized in December 2017. I’ll now turn the call over to Justin Brown for a regulatory update.
Justin Brown: Thanks, Greg. As highlighted on Slide 13, I will be discussing several key regulatory initiatives, including an update on rate case activity and planning; the progress we’ve made on several tax reform proceedings, where we’ve been working collaboratively with the regulators to ensure timely rate changes for our customers; and an update on the progress of our infrastructure tracker programs; and several expansion projects. Turning to Slide 14 and starting with our Nevada rate case. It has been approximately six years since we filed the Nevada rate case. As part of our filing, the request includes a $32.5 million upward adjustment to rates, which is net of any downward adjustment associated with lower tax rates following tax reform. The rate adjustment proposal is premised upon a proposed increase to rate base of $309 million and a proposed return on common equity capital of 10.3% relative to an equity ratio of 49.3%. Of the $309 million of increased rate base growth, approximately $187 million is associated with previously approved GIR projects. The proposed increase also reflects a slight increase in depreciation rates approximately $3.8 million. In Nevada, we’re required to file an updated depreciation study, and that study concluded that there was a need to slightly increase depreciation rates at this time. So our impact to – our overall impact to operating income in this case is approximately $29 million after factoring in the changes to depreciation expense. In addition to these traditional components of our rate case, we’re also requesting to continue our fully decoupled rate design, reset our infrastructure trucker programs, and we’ve also requested a track pension expense. Due to the volatile nature of pension expense, we’ve requested approval of a tracking mechanism to ensure the amount of pension expense built into rates is recovered – is recovering in our actual pension expense each year. We are currently working our way through the data request process and we’ll still – and we’ll start receiving intervener testimony in late September, with hearings beginning in late October. You may recall that in Nevada, rates become effective within 210 days following the rate case filing. As such, we anticipate having a final decision in time for rates to become effective by January 1, 2019. Turning to Slide 15, in California. Our traditional five-year rate case cycle was extended by two years, which means, we are now targeting a September 2019 filing date. In the meantime, we’ll continue to make annual adjustments to margin through 2020 as part of our annual 2.75% attrition filing. In fact, for 2018, we will authorize increased revenue by $2.7 million beginning January of this year. Lastly, with respect to Arizona, our most recent rate case resulted in new rates becoming effective in April 2017. As the effect of these new rates were realized over a 12-month period, we continue to see benefits from Arizona rate relief through the first quarter of 2018 to the tune of $16 million impact operating income. But with the conclusion of this 12-month period, we also now turn our focus to the next Arizona rate case, which we’re currently anticipating filing next May due to a previously agreed upon stay-out provision. We’re also currently evaluating the need for and what options might exist for filing a rate case prior to May, and this is due primarily to the recent tax reform decision, which leads us to the next slide in Slide 16. Most of this year has been spent working closely with our regulators to ensure a fair and balanced approach to adjusting rates to reflect saving from tax reform. As I mentioned in Arizona, we recently received approval in Arizona on a plan to adjust rates to refund approximately $20 million to customers during 2018. We are currently evaluating the need for a rate case and we’re also working with the ACC staff on what options might be available to modify the timing of our next rate case. In Nevada, the Commission held a workshop earlier this year seeking comments from utilities on their plans for reflecting tax reform changes in rates. We collaboratively worked with our stakeholders in Nevada and committed to adjusting rates as part of our rate case filing, which we did. As such, we anticipate no additional adjustments to rates in 2018 to reflect tax reform changes. With respect to California, we have a decision from the commission directing us to use a tax memorandum account to track rate making impacts for attrition years 2019 through 2020 that was approved as part of our proposal to extend our rate case cycle. As a result, we do not anticipate any additional regulatory filings prior to our currently planned rate case in September of 2019. Consistent with the Commission’s previous decision, we are planning to track benefits from tax reform for attrition years 2019 and 2020, and would anticipate including those amounts as an offset to our requested rate relief as part of our next California rate case. And lastly, with respect to Paiute Pipeline, FERC recently issued a decision approving its notice of proposed rulemaking directing pipeline to follow Form 501-G to calculate the impact of tax reform on its current cost of services and to explain how the pipeline plans to adjust rates to reflect tax reform or explain why no change is necessary. Paiutecurrently anticipates making a filing with FERC in compliance with this decision before year-end. Turning to Slide 17 and an update on our various CapEx tracker programs. In Arizona, where we have two such programs, we recently received a draft decision from the ACC staff on our pending request to increase the COYL surcharge revenue based upon cumulative capital expenditures of $30.9 million, $18.8 million of which was invested in 2017. The staff proposed to approve our filing, but has also made a slight adjustment to the revenue requirement to reflect lower taxes following tax reform. As such, the staff is proposing an incremental increase of $1.7 million in surcharge revenue for a total of $3.5 million. Turning to Slide 18. In addition to our COYL program, we were granted approval in our last rate case to start a Vintage Steel Pipe replacement program, so we can start chipping away at replacing approximately 6,000 miles of Vintage Steel Pipe we have in Arizona. Similar to our COYL filing, the staff issued a proposed decision approving our VSP filing and also making a slight adjustment to the surcharge revenue to reflect tax reform. As such, that proposed decision recommend surcharge revenue of $2.4 million based upon capital expenditures of $27 million. We are currently targeting approximately $100 million of replacement work for completion during calendar year 2018, as we start – continue to ramp up this new program in Arizona. Turning to Nevada in Slide 19. We made our annual tracker filing in June proposing new projects for accelerated replacement. Unlike prior years, the focus on a single year project, this year we have proposed a three-year plan totaling approximately $228 million, or on average $76 million per year. We expect the decision on this filing by October. As part of our Nevada tracker program, we’re currently recovering surcharge revenue of $8.7 million that was approved late last year. The decision authorized the increase in surcharge revenues from $4.5 million to $8.7 million, or an incremental increase of $4.2 million for 2018. As I mentioned previously, as part of our rate case filing, we proposed to adjust the GIR rate by approximately $6.6 million as part of the rate case dockets, in lieu of making a separate filing in October like we would have traditionally. If approved, this incremental GIR surcharge revenue would become effective in January 2019, the same time as new rates would become effective from our rate case. Turning to Slide 20 and an update on our expansion project initiatives. Our $80 million LNG facility in Southern Arizona is currently over 65% completed and remains on track and in line with our expectations for completion in the second-half of 2019. In Nevada, we received approval for $28 million expansion as part of our first ever SB 151 filing authorizing us to extend our facility to Mesquite, Nevada, which is currently an unserved area in Southern Nevada. We’ve begun the planning and design stages of the project and we are currently targeting service to our first Mesquite customers in the first quarter of 2019. And lastly, we’ve received approval from FERC to proceed with our 2018 Paiute Pipeline expansion project. The project has been bid and is currently under construction. The project is anticipated to cost approximately $22 million and should be completed before year-end. And with that, I’ll turn it back to John.
John Hester: Thanks. Justin. Turning to Slide 21, as I mentioned at the outset of the call, we added 33,000 net new customers over the past year and anticipate experiencing a similar annualized 1.6% rate of growth in customers over the next two years. Moving to Slide 22. Our continuing positive customer growth is largely due to robust economic conditions across our service territories. Continued population growth in the states we serve is expected to be significantly higher than the national average over the coming five-year period. In addition, we have seen unemployment rates decline in each of our service territories and also continue to experience significant job growth. On Slide 23, we illustrate our planned capital expenditures for 2018 through 2020. For the three-year period 2018 through 2020, we will invest approximately $2 billion in our gas delivery systems to serve growth and enhance safety and reliability. As shown, a significant portion of our investments are associated with infrastructure cost recovery mechanisms. Turning to Slide 24. We show our continuing investments in safety, reliability, and growth translate into rate base. Specifically, at the end of 2017, Southwest had $3.2 billion in rate base and with our anticipated capital expenditures over 2018 through 2020 with appropriate offsets for depreciation amortization and taxes, we expect to have $4.5 billion in rate base by the end of 2020. These ongoing investments in our gas distribution systems result in a 12% compounded annual growth rate in rate base over the reference three-year period. Moving to Slide 25 and some of the factors that will influence our financial performance prospectively. For our natural gas operations, we expect continued annualized customer growth of 1.6%. Our planned capital expenditures will be funded by an appropriate level and mix of internal cash flows, debt and equity, one-year of Arizona rate relief was experienced at the end of the first quarter, pension cost will increase by $8 million this year due to lower interest rate levels set at the end of 2017, and we anticipate rates from the current Nevada general rate case proceeding that Justin detailed earlier to be effective at the beginning of the next year. With respect to the construction services business segment, our Neuco acquisition should help continue to drive revenue growth and generally desirable lower tax rates due impact the magnitude of seasonal first quarter losses. On Slide 26, we detail estimated line item guidance for the regulated utility operations. Operating margin is expected to increase by 2%, plus $20 million impact from tax reform; O&M expense should increase by 2% to 3%, plus the previously referenced $8 million increased pension cost; depreciation and general taxes should be generally flat; operating income is expected to be flat to modestly up, plus the referenced impact of tax reform; net interest deduction should increase by $9 million to $11 million; normal COLI returns are anticipated in the $3 million to $5 million range; income tax rates will approximate 23% to 24%; and 2018 capital expenditures should total $670 million. Moving to the estimated line item guidance for the construction services business on Slide 27, 2018 revenues should increase by 8% to 12%, operating income should be 5% to 5.5% of revenues, net interest deduction should total $12 million to $13 million, fluctuations in the U.S. Canadian dollar exchange rate can marginally impact financial results due to our Canadian operations, and income taxes should approximate 27% to 28%. And finally, wrapping up on Slide 28 with our long-term value drivers. We expect that our natural gas operations will continue to create shareholder value as a result of our robust anticipated customer growth, aggressive capital campaign, and collaborative partnerships with our regulators. And at our construction services business, shareholders should see continued value creation through that businesses position as one of the largest and still growing underground pipeline contractors in North America, operating in 25 different markets in the U.S. and Canada, with longstanding relationships with utility customers that are replacing aging infrastructure and safety-oriented programs that will last for years to come. With that, I will turn the call back to Ken.
Kenneth Kenny: Thanks, John. That concludes our prepared presentation. For those of you have access to our slides, we also provided an appendix with slides, which includes other pertinent information about Southwest Gas Holdings, Inc. and its subsidiaries and can be reviewed at your convenience. Our operator, Norma, will now explain the process for asking questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Aga Zmigrodzka of UBS. Your line is open.
Aga Zmigrodzka: Good morning. I just wanted to clarify the impact of the Nevada rate case. Based on your prepared remarks, the rates in Nevada will remain unchanged in 2018 and will be updated with the new rate from the rate case in 2019. Does that $20 –the $32 million request include the impact from the changes in the tax rate and as such should be added to current rate?
Justin Brown: Hey, Aga, this is Justin Brown. Yes, the – I’m not sure about the last part of your question, but correct. The $32.5 million request is net of, I think, it was calculated to be about a $20.4 million impact from tax reform. So that is a net number. There will not be any additional anticipated changes to reflect tax reform as part of that rate request that’s pending.
Aga Zmigrodzka: Okay, perfect. My second question is related to the construction segment. Could you please provide some more color on the updated construction segment operating income guidance? How do you think about the long-term growth from this segment?
Gregory Peterson: Yes. Aga, this is Greg. Certainly, the color that we’ve provided for 2018 reflects higher than previously guided revenues and it’s somewhat lower operating income percentages as the percentage of revenues. Overall, I think, our overall guidance for 2018 for the construction segment is consistent with what we’ve had before, but we have had continued new projects and additional projects with customers that have boosted up our revenue growth for this year. On a going-forward basis, I think, we’re consistent with what we’ve said in the past. It is a growing business. We’ve got good customers and opportunities for growing the business both internally, and we will continue to look as we have in the past at appropriate acquisitions. So I think, we will see continued robust customer growth and revenue growth with the construction services segment.
Aga Zmigrodzka: That’s all for me. Thank you.
Operator: Thank you. Our next question comes from Dennis Coleman of Bank of America. Your line is open. Dennis?
Dennis Coleman: Thank you. Just – maybe just to follow-up on that last one. You’ve talked frequently about M&A in the Centuri business. Any updates there or anything to speak about there?
John Hester: Hi, Dennis, this is John. Not really anything to update on our general position that Greg referenced. We like that business. We think that it’s poised to grow with the customer group that we have now. As I mentioned in some of my comments, a lot of those utility customers have pipe replacement projects that will last for quite a long time. But if we see that there are opportunistic tuck-in acquisitions that may help us get into a geographic area that we’re not operating in now or perhaps expand some of the business that we currently do, for example, with electrical we'll continue to look at that.
Dennis Coleman: Okay. And on the Arizona rate case, you have to stay-out till May 2019, but you talked about looking into various options. Can you just expand on what the options might be?
Justin Brown: Yes. Sure, Dennis, this is Justin. In addition to the stay-out provision in the settlement, there’s actually also a forced majeure provision in there that I think, is questionable that we want to work with staff on kind of the intent of the force majeure provision and whether that in light of tax reform if that’s something that would qualify then it would permit us to make a filing earlier. So that’s really kind of the one area that that we’re focused on. In addition, I think, when the Commission voted on the tax reform decision, there was some discussion from the bench about potentially filing a rate case and kind of discussion around that stay-out provision. And so it’s something, we want to pursue and discuss with them some more.
Dennis Coleman: So is it possible you have a difference in opinion on the force majeure from the staff. I mean, is that…?
Justin Brown: That could be a possibility.
Dennis Coleman: Okay. I guess, more to come there. Switching gears a little bit on the pension costs, obviously, you’ve called it out quite clearly. And it does seem to be that its interest rate-sensitive or driven. So wonder if you can maybe just talk about as we are seeing interest rates rise, is that – should we sort of expect to start to get some relief on this in out years? Any color you can add there?
Gregory Peterson: Yes, Dennis, this is Greg. Certainly, as you mentioned – as we previously disclosed in our SEC documents, interest rates have a notable effect on the discount amount then, of course, then on the corresponding pension cost and pension expense. We have seen as you have an uptick in interest rates and again, the $8 million is reflective of lower interest rates back in December 2017 that we applied to pension. We certainly see those going up and were they to go back up to the 2016 levels, then again, as you can see a corresponding decrease in pension expense. So I think that’s what we overall expect in the long-term as the pension expense will become more normal and this $8 million increase for 2017 is kind of a one-time item.
Dennis Coleman: So is there a specific –is it the 10-year treasury, or is there a specific interest rate we can look at, Greg, that would guide us on that or that you can talk to 2017 versus 2016?
Gregory Peterson: Yes. I was going to say, it’s a mix of longer-term bonds the kind of match the cash outflows associated with our pensions plan. You might look at for relative examples, 30-year AA-rated bond, the yields on those, and as you watch that basis point change year-over-year, that might be a fairly good indication of what would happen with the discount rate for us.
Dennis Coleman: Got it. That’s it – that’s very helpful. That’s it for me. Thanks.
Operator: Thank you. Our next question comes from Paul Ridzon of KeyBanc. Your line is open.
Paul Ridzon: Good afternoon.
John Hester: Good afternoon.
Paul Ridzon: Just one question. I noticed the operating margin guidance kind of ticked down. Are you seeing any attempts by customers to maybe reach in and grab your benefit of lower taxes? Is that’s what’s driving this, or have you seen any of that?
John Hester: We have seen some requests for, I think, a limited number of customers asking – this is John Dennis – or Paul. We have seen some customers asking about that, but generally speaking, when we look at that, we also look at that in conjunction with the other types of costs that we’re experiencing. So we haven’t seen, for example, an across the board reduction in our rates with our utility customers to reflect that. There are – often times when we look at revising or updating the rates that we’re charging our customers for the work that we’re doing, that’s one component in the mix, there are a lot of other things going on. But there have been some of those discussions with some of our customers.
Paul Ridzon: Is that a piece of the lower operating margin outlook?
John Hester: No, I don’t believe so.
Paul Ridzon: Thank you very much. I appreciate it.
John Hester: Thanks.
Operator: Thank you. At this time, I’d like to turn the call back over to Mr. Ken Kenny for closing remarks.
Kenneth Kenny: Thank you, Norma. This concludes our conference call, and we appreciate your participation and interest in Southwest Gas Holdings, Inc. Please have a great day today. Thanks.